Operator: Greetings, and welcome to the Main Street Capital Fourth Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. A question and answer session will follow the formal presentation. As a reminder, this conference is being recorded. It is now my pleasure to introduce Zach Vaughan. Thank you. You may begin.
Zach Vaughan: Thank you, operator, and good morning, everyone. Thank you for joining us for Main Street Capital Corporation's fourth quarter 2024 earnings conference call. Joining me today with prepared comments are Dwayne Hyzak, Chief Executive Officer, David Magdol, President and Chief Investment Officer, and Ryan Nelson, Chief Financial Officer. Also participating in the Q&A portion of the call are Jesse Morris, Chief Operating Officer, and Nick Meserve, Managing Director and Head of Main Street's Private Credit Investment Group. Main Street issued a press release yesterday afternoon that details the company's fourth quarter and full-year financial and operating results. This document is available on the investor relations section of the company's website at mainstcapital.com. A replay of today's call will be available beginning an hour after the completion of the call and will remain available until March 7th. Information on how to access the replay was included in yesterday's release. We also advise you that this conference call is being broadcast live to the Internet and can be accessed on the company's homepage. Please note that information reported on this call speaks only as of today, February 28, 2024. You are advised that time-sensitive information may no longer be accurate at the time of any replay listening or transcript reading. Today's call will contain forward-looking statements. Many of these forward-looking statements can be identified by the use of words such as anticipates, believes, expects, intends, will, should, may, or similar expressions. Statements are based on management's estimates, assumptions, and projections as of the date of this call, and there are no guarantees of future performance. Actual results may differ materially from the results expressed or implied in the statements as a result of risks, uncertainties, and other factors, including but not limited to the factors set forth in the company's filings with the Securities and Exchange Commission, which can be found on the company's website or at sec.gov. Main Street assumes no obligation to update any of these statements unless required by law. During today's call, management will discuss non-GAAP financial measures including distributable investment income, or DNII. DNII is net investment income or NII, as determined in accordance with US generally accepted accounting principles, excluding the impact of non-cash compensation expenses. Management believes that presenting DNII and the related per share amount are useful and appropriate supplemental disclosures for analyzing Main Street's financial performance. Non-cash compensation expenses do not result in a net cash impact to Main Street upon settlement. Please refer to yesterday's press release for a reconciliation of these non-GAAP measures to the most directly comparable GAAP financial measures. Two additional key performance indicators that management will be discussing on this call are net asset value or NAV and return on equity or ROE. NAV is defined as total assets minus total liabilities and is also reported on a per share basis. Main Street defines ROE as the net increase in net assets resulting from operations divided by the average quarterly total net assets. Please note that certain information discussed on this call, including information related to portfolio companies, was derived from third-party sources and has not been independently verified. Now I'll turn the call over to Main Street's CEO, Dwayne Hyzak.
Dwayne Hyzak: Thanks, Zach. Good morning, everyone, and thank you for joining us. We appreciate your participation on this morning's call. We hope that everyone's doing well. On today's call, I will provide my usual updates regarding our performance in the quarter, while also providing a few updates on our performance for the full year. I'll also provide updates on our asset management activities, our recent dividend declarations, our expectations for dividends going forward, our recent investment activities and current investment pipeline, and several other noteworthy updates. Following my comments, David and Ryan will provide additional comments regarding our investment strategies, investment portfolio, financial results, capital structure and liquidity, and our expectations for the first quarter of 2025, after which we'll be happy to take your questions. We're extremely pleased with our fourth quarter results, which closed another great year for Main Street, as highlighted by a record annualized return on equity of 25.4% for the quarter. Our positive performance in all four quarters for the year resulted in a return on equity of 19.4% for the full year, strong levels of NII per share, and DNII per share to fund our record level of annual shareholder dividends and a new record for NAV per share for the tenth consecutive quarter. We believe that these continued strong results demonstrate the sustainable strength of our overall platform, the benefits of our differentiated and diversified investment strategies, the unique contributions of our asset management business, and the continued underlying overall strength and quality of our portfolio companies. Our continued positive performance allowed us to increase our total dividends paid to our shareholders in the fourth quarter by 6% over the prior year, resulting in an 11% increase for the full year. This allowed us to continue our trend of increasing the dividends paid to our shareholders over the last few years. We also continue to generate DNII per share which exceeds the total dividends paid to our shareholders. We continue to be encouraged by the favorable overall performance of the companies in our diversified lower middle market, private loan investment portfolios, and remain confident that these strategies, together with the benefits of our asset management business, significant available liquidity, and our cost-efficient operating structure, will allow us to continue to deliver superior results for our shareholders in the future. These positive results, combined with our favorable outlook for the first quarter, resulted in our recommendations to our board of directors for our most recent dividend announcements, which I will discuss in more detail later. Our NAV per share increased in the quarter primarily due to the impact of net fair value increases in our investment portfolio, including the benefit in the quarter from the largest realized gain in our firm's history and the continued benefits from our asset management business. Ryan will discuss our NAV per share increase in more detail. The continued favorable performance of the majority of our lower middle market portfolio companies resulted in another quarter of strong dividend income contributions and significant net fair value appreciation in our lower middle market equity investments. The realized gain that I referenced was a $54 million realized gain on the exit of our equity investment in Pearl Meyer, which we believe is a great example of the unique benefits of our lower middle market investment strategy and which resulted in significant benefits for Main Street and our Pearl Meyer management team partners. The benefits from Main Street included significant dividend income, fair value appreciation, and the realized gain resulting in best-in-class returns on our equity investment in addition to the attractive interest income provided by our debt investments. This highly attractive investment also has one of the benefits we provide to our portfolio companies through our lower middle market investment strategy, which is the ability of our portfolio companies to execute significant growth through acquisitions, the acquisitions funded 100% by debt financing from Main Street, thereby allowing the management team to execute significant value creation without experiencing dilution of their existing ownership percentage. We continued these types of value-creating activities in the fourth quarter and are excited about the following investments we made to finance strategic acquisitions by three of our high-performing lower middle market portfolio companies, each of which were funded by follow-on debt investments by Main Street, a total of over $36 million of incremental debt investments in these portfolio companies. We expect that these follow-on investments will provide opportunity for additional future fair value appreciation in addition to providing us the highly attractive incremental debt investments in these high-performing portfolio companies. Consistent with my comments over the last few quarters, we also continue to see increased interest from potential buyers in certain portfolio companies that could lead to favorable realizations over the next few quarters, further highlighting the strength and quality of our portfolio companies. Our lower middle market investment activity in the fourth quarter included total investments of $168 million, including investments totaling $116 million in two new portfolio companies, which together with the elevated repayment activity in the quarter resulted in a net increase in our lower middle market investments of $11 million. Our private loan investment activities in the quarter included total investments of $108 million, which after repayments and other investment activity resulted in a net increase in our private loan investments of $7 million. We've also continued to produce favorable results in our asset management business. The funds we advised through our external investment manager continue to experience favorable performance in the fourth quarter, resulting in significant incentive fee income for our asset management business for the ninth consecutive quarter, and together with our recurrent management fees, a significant contribution to our net investment income. We also benefited from significant fair value appreciation in the value of our investment manager, due to a combination of the continued increase in fee income, growth in assets under management, and broader market-based drivers. We remain excited about our plans for the external funds that we manage as we execute our investment strategies and explore other strategic initiatives, and we are optimistic about the future performance of the funds and the attractive returns we are providing to the investors of each fund and about our strategy for growing our asset management business within our internally managed structure. As part of our efforts to grow our asset management business, we are very pleased that in late January, MSC Income Fund, a BDC advised by our external investment manager and our largest asset management business initiative, successfully completed a listing on the New York Stock Exchange and a public equity offering in which the fund raised net equity proceeds of $91 million. We were very pleased with the listing and equity offering, which resulted in the fund being able to accelerate the timing and increase the size of the offering. We're very excited about our future plans for MSC Income Fund. We believe that the fund's listing and equity offering, along with the transition of its investment strategy and investment portfolio to be solely focused on co-investing with Main Street and our private loan investment strategy, provides the fund the ability to continue to provide its shareholders with a very attractive source of recurring dividend income and attractive total shareholder returns, and also provides significant future benefits to Main Street through the opportunity to grow the asset management fees that our external investment manager receives from the fund as it executes its growth plans. Based upon our results for the fourth quarter, combined with our favorable outlook in each of our primary investment strategies and for our asset management business, earlier this week, our board declared a supplemental dividend of $0.30 per share payable in March, representing our fourteenth consecutive quarterly supplemental dividend, and regular monthly dividends for the second quarter of 2025 of $0.25 per share payable in each of April, May, and June, representing a 4% increase from the second quarter of 2024. The supplemental dividend for March is a result of our strong performance in the fourth quarter and will result in total supplemental dividends paid during the trailing twelve-month period of $1.20 per share, representing an additional 41% paid to our shareholders in excess of our regular monthly dividends. We currently expect to recommend that our board continue to declare supplemental dividends to the extent DNII significantly exceeds our regular monthly dividends paid in future quarters, and we maintain a stable to positive NAV. Based upon our expectations for continued favorable performance in the first quarter, we currently anticipate proposing an additional supplemental dividend payable in June 2025. Now turning to our current investment pipeline, as of today, I would characterize our lower middle market investment pipeline as average, with several new investments scheduled to close before quarter-end. We believe that the unique and flexible financing solutions that we can provide to lower middle market companies and their owners and management teams and our differentiated long-term to permanent holding periods represent an attractive solution to the needs of many lower middle market companies. And despite the current broad economic uncertainty, we are confident in our expectations for favorable lower middle market investment activity over the next few months. We also continue to be very pleased with the performance of our private credit team and the significant growth they have provided for our private loan portfolio and our asset management business. And as of today, I'd also characterize our private loan investment pipeline as average. With that, I'll turn the call over to David.
David Magdol: Thanks, Dwayne, and good morning, everyone. Each year-end provides a good opportunity to look back at our history and highlight the results of our unique and diversified investment strategies and discuss how these strategies have enabled us to deliver highly effective returns to our shareholders over an extended period of time. Since our IPO in 2007, we have increased our monthly dividend per share by 127% and we've declared cumulative total dividends to our shareholders of almost $45 per share or approximately three times our IPO price of $15 per share. Our total return to shareholders since our IPO, calculated using our stock price as of yesterday's close and assuming reinvestment of all dividends received since our IPO, was 16 times money invested. This compares favorably to the 4.4 times money invested for the S&P 500 over the same period of time and is significantly higher compared to other BDCs. As we previously discussed, we believe that primary drivers of our long-term success have been and will continue to be our focus on making both debt and equity investments in the underserved lower middle market, our private credit investment activities for the benefit of our stakeholders and for the clients of our asset management business, our internally managed structure, which allows us to maintain an industry-leading cost structure, and the strong alignment of interest between our employees and our shareholders as a result of our team's meaningful stock ownership. Most notably and uniquely, our lower middle market strategy provides attractive leverage points and income yield on our first lien debt investments while also creating a true partnership with the management teams and other equity owners of our portfolio companies through our flexible and highly aligned equity ownership structures. This approach provides significant downside protection to our first lien debt investments and preferred equity position while still providing the benefits of significant upside potential through our equity investments. Main Street's long-term historical track record of investing in the lower middle market coupled with our view that this market continues to be underserved gives us confidence that we will be able to continue to find attractive new investment opportunities in this primary area of investment focus for our business. Our ability to provide highly customized and differentiated capital solutions for the predominantly family-owned businesses that exist in the lower middle market has been and continues to be a strong differentiator for us. In 2024, Main Street invested $466 million in our lower middle market strategy. $228 million of this capital was deployed in seven new lower middle market platform companies, with the remaining $238 million predominantly representing follow-on investments in existing and well-performing lower middle market companies. Consistent with our comments in prior quarters, the majority of these follow-on investments were made to support growth strategies in some of our highest-performing companies, which makes this aspect of our lower middle market investment activity very exciting for us. Our follow-on investments are typically used to support sectors, including acquisitions, product or geographic expansion opportunities, and recapitalization transactions. Most importantly, these follow-on investments are made in support of proven management teams that we believe represent significantly less investment risk when compared to providing capital to new investment portfolio companies. Since we are significant equity owners in our lower middle market companies, we also benefit from participating alongside the proven managers in these businesses as they strive to achieve meaningful equity value creation. As we've stated in the past, as our lower middle market portfolio companies perform over time, they naturally deleverage the free cash flow generated from operations. This allows us, along with our lower middle market portfolio management team partners, to benefit from a larger portion of the portfolio company's cash flow after debt service, which can be available for distribution to the equity owners. Given the strength and quality of our lower middle market portfolio, and the long-term holding period for many of our companies, we expect dividend income to continue to be a significant contributor to our results in 2025 and in the future. Additionally, this deleveraging coupled with the attractive overall strong operating results from our lower middle market portfolio companies allowed us to achieve $120 million in net fair value increases in 2024 for our lower middle market portfolio, including the largest realized gain in our firm's history. The benefit from realized gains on our lower middle market equity investments is unique to us among our BDC peers and provides the opportunity to offset losses which will naturally incur when investing in non-investment grade asset classes. As our lower middle market equity investments perform, they also provide us the opportunity for unrealized appreciation, which allows us to continue to grow our NAV, which is an opportunity the investment strategies of other BDCs simply do not have. A great example of a lower middle market equity investment that highlights the benefits of our unique investment strategy was the exit from our portfolio company, Pearl Meyer, that Dwayne mentioned in his remarks. We completed the exit in our investment in Pearl Meyer in the fourth quarter, which resulted in a realized gain of $54 million. In addition to the realized gain achieved upon exit, Pearl Meyer also distributed total dividends to us of $32 million over the lifetime of our investment. As a result, on a cumulative basis, since our initial investment in April 2020, and taking the realized gain and dividends into consideration, we realized an annual internal rate of return of 69% and 7.7 times money invested return on our equity investment. Including all debt and equity investments in Pearl Meyer, Main Street realized an IRR of 33%. The last important area I'd like to cover regarding our 2024 accomplishments are the impressive contributions that our private credit team delivered during the year. Our private credit team continued to execute on our strategy to dedicate significant resources towards growing the private loan segment of our business, which we believe provides a very attractive risk-adjusted return profile for us and for the clients of our asset management business. During 2024, we completed growth investments of approximately $900 million in our private loan strategy and grew the cost basis of our private loan investment portfolio by $449 million. As a result of these investment activities, our private loan portfolio represented 46% of our total investment at cost at year-end, and our middle market portfolio declined to represent less than 5% of our total investment portfolio. As Dwayne discussed earlier, our private loan capabilities are also the primary driver of our strategic objective to continue to grow our asset management business. As of December 31st, we had investments in 190 portfolio companies spanning across numerous industries and end markets. Our largest portfolio company, excluding the external investment manager, represented only 3.3% of our total investment income for the year and only 3.8% of our total investment portfolio fair value at year-end. The majority of our portfolio investments represented less than 1% of our income and our assets. Now turning to our investment activity in the fourth quarter, we made total investments in our lower middle market portfolio of $168 million, including investments of $116 million in two new lower middle market portfolio companies, which after aggregate repayments on debt investment, return of invested equity capital from several equity investments, and a decrease in the cost basis due to realized losses on certain portfolio investments resulted in a net increase in our lower middle market portfolio of $11 million. During the quarter, we also completed $108 million in total investments, which after aggregate repayments of debt investment and a decrease in cost basis due to realized losses on several portfolio investments resulted in a net increase in our private loan portfolio of $7 million. At year-end, our lower middle market portfolio included investments in 84 companies representing $2.5 billion of fair value, which is 29% above our related cost basis. We had investments in 91 companies in our private loan portfolio representing $1.9 billion of fair value. Our total investment portfolio at fair value at year-end was 16% above our related cost basis. Additional details on our investment portfolio at year-end are included in the press release that we issued yesterday. With that, I will turn the call over to Ryan to cover our financial results, capital structure, and liquidity position.
Ryan Nelson: Thank you, David. To echo Dwayne's and David's comments, we are pleased with our operating results for the fourth quarter, which included a number of quarterly records, and capped the year in which Main Street achieved records for net investment income, distributable net investment income, and net assets net asset value per share. Our total investment income for the fourth quarter was $140.4 million, increasing by $11.1 million or 8.6% over the fourth quarter of 2023 and by $3.6 million or 2.6% from the third quarter of 2024. The positive momentum we experienced during the first three quarters continued into the fourth quarter and culminated in a year with strong levels of interest, dividend, and fee income, which again demonstrated the continued strength of our differentiated investment and asset management strategies. Interest income increased by $9.3 million from a year ago and decreased $0.6 million when compared to the third quarter. The increase over the prior year was driven primarily by the impact of increased net investment activity over last year, partially offset by the impact of an increase in investments on non-accrual status and a decrease in interest rates on our floating rate debt investments, primarily resulting from decreases in benchmark index rates. The decrease from the third quarter was primarily driven by the floating rate debt investments, partially offset by an increase in net investment activity. Dividend income increased by $0.7 million or 3.1% when compared to a year ago, including a $0.2 million increase in unusual or non-recurring dividends, and increased by $1.3 million or 5.5% from the third quarter, including a $0.3 million increase in unusual or non-recurring dividends. The increases in dividend income are a result of the continued underlying strength of our portfolio companies. Fee income increased by $1.1 million or 23.3% from a year ago and increased by $2.9 million or 96.6% from the third quarter of 2024. The increase in fee income from the prior year was primarily driven by higher closing fees on new and follow-on investments, partially offset by a decrease from accelerated amortization and exit prepayment and amendment fees driven by investment activity. The increase in fee income over the third quarter was primarily driven by higher closing fees on new and follow-on investments during the fourth quarter and increased prepayment and amendment fees driven by investment repayment and other fee income considered nonrecurring decreased by $0.2 million compared to a year ago and increased by $1 million compared to the third quarter of 2024. The fourth quarter included reduced levels of income considered less consistent or nonrecurring in nature in comparison to the fourth quarter of 2023 and elevated levels of income considered less consistent or nonrecurring in nature in comparison to the third quarter of 2024, including dividends from our equity investments and accelerated prepayment, repricing, and other activity related to our debt investments. In the aggregate, these items totaled $3.7 million and were $1.3 million or $0.02 per share lower compared to the average of the prior four quarters or $1.6 million or $0.02 per share lower than such items in the fourth quarter of 2023 and $1.5 million or $0.02 per share higher than the third quarter of 2024. Our operating expenses increased by $10.9 million over the fourth quarter of 2023, largely driven by increases in interest rate expense and compensation-related expenses, partially offset by an increase in expenses allocated to the external investment manager. The increase in interest expense from a year ago was primarily driven by an increase in average borrowings funded portion of growth of our investment portfolio and an increase in the weighted average rate on our debt obligations. The ratio of our total operating expenses, excluding interest, as a percentage of our average total assets was 1.2% for the quarter on an annualized basis and for the year continues to be among the lowest in our industry. Our external investment manager contributed $8.7 million to our net investment income during the fourth quarter, representing a decrease of $0.5 million from the same quarter a year ago, which resulted in a total of $34.3 million for the year, representing an increase of $1 million or 3% over the prior year. The manager earned $3.4 million in incentive fees during the quarter and $13.7 million for the year, representing a decrease of $0.5 million and an increase of $0.3 million respectively over the same period in the prior year. The manager ended the quarter with total assets under management of $1.6 billion. During the quarter, we recorded net fair value appreciation, including net realized gains and net unrealized appreciation on the investment portfolio of $80.8 million. This increase was driven by net fair value appreciation in our lower middle market portfolio and our external investment manager, partially offset by net fair value depreciation in our private loan portfolio and certain of our other portfolio investments. The net fair value appreciation in our lower middle market portfolio is largely driven by the continued positive performance of certain of our portfolio companies. The net fair value depreciation in our private loan portfolio was driven by the impact of specific portfolio company underperformance, partially offset by decreases in market spreads. The fair value appreciation of our external investment manager was a result of a combination of increases in the valuation multiples of publicly traded peers, which we use as one of the benchmarks for valuation purposes, and an increase in the fee income generated by the external investment manager. We ended the fourth quarter with investments on non-accrual status comprising approximately 1.9% of the total investment portfolio at fair value and approximately 3.5% at cost. Net asset value or NAV increased by $1.08 per share over the third quarter and by $2.45 or 8.4% when compared to a year ago, to a record NAV per share of $31.65 at year-end. Our regulatory debt to equity leverage, calculated as total debt excluding our SBIC debentures divided by net asset value, was about 0.64 times, and our regulatory asset coverage was 2.56 times, and these ratios continue to be more conservative than our long-term target ranges of 0.8 to 0.9 times and 2.1 to 2.25 times. Given our current liquidity position, we were less active during the fourth quarter in our at-the-market or ATM program, raising net proceeds of $8.9 million from equity issuances. After giving effect to the capital activities in 2024, we entered 2025 with strong liquidity, including cash and availability under our credit facilities in excess of $1.4 billion, with one near-term debt maturity of $150 million in December of 2025. We continue to believe that our conservative leverage, strong liquidity, and continued access to capital are significant strengths that have proven to benefit us historically and have us well-positioned for the future, allowing us to continue to execute our attractive investment strategies. As discussed last quarter, with this current level of liquidity, we currently expect to fund our new net investment activity in 2025 through a greater portion of debt financing, and as such, we would expect leverage to continue to increase during this time to be closer to our long-term stated targets. However, we expect to continue to operate throughout the year at leverage levels more conservative than our long-term targets. Coming back to our operating results, as a result of our strong performance for the quarter and year, return on equity for the fourth quarter was 25.4% on an annualized basis and 19.4% for the year. DNII per share for the quarter of $1.08 decreased from DNII per share for the fourth quarter of last year by $0.04 or 3.6% and exceeded DNII per share for the third quarter by $0.02 per share or 1.9%. The combined impact of certain investment income considered less consistent or nonrecurring in nature on a per share basis was $0.02 per share below the average of the last four quarters, $0.02 per share below the same quarter a year ago, and $0.02 per share above the third quarter. For the year, these items were $0.05 per share below 2023 levels. Looking forward, we expect headwinds on top-line earnings related to the decrease in floating market index rates, but given the strength of our underlying portfolio, we expect another strong earnings quarter in the first quarter of 2025, with expected DNII of at least $1.05 per share, with potential for upside driven by portfolio investment activities during the quarter. And we would also expect that we would recommend to our board that it declare another supplemental dividend in the second quarter. With that, I will now turn the call back over to the operator so we can take any questions.
Operator: Thank you. We will now be conducting a question and answer session. If you would like to ask a question, please press star one on your telephone keypad. Your handset before pressing the star key. One moment, please, for your first question. Our first question is from the line of Robert Dodd with Raymond James. Please proceed with your questions.
Robert Dodd: I am self-muted. I apologize. Congratulations on the quarter and Pearl Meyer in particular. Can you give us any exposure in the portfolio to potential tariff issues or government efficiency initiatives? I mean, it's not their first rodeo with tariffs, and we adapted pretty well before, but can you just give us any thoughts on that given the economic environment and what's coming out of DC at the moment?
Dwayne Hyzak: Yeah, Robert. We're happy to do that. So good morning and thanks for the question. I'd say on the tariff topic, clearly, we're in some very interesting times here. And I think our view is that if the tariffs are implemented and maintained the way that they're being discussed right now, that there's many businesses and industries in the US that are gonna have some issues or some exposure just given the global nature of the business world today. And I'd say, when you look at our portfolio, actually, we're no different. There are certain companies in our portfolio that will definitely have an impact. But as you probably heard us say in the past, we do have a very, very diverse portfolio. We think that's a benefit in all periods. We think it would also be a benefit when you look at the potential impact of tariffs going forward. We also look at the companies that we have. As you've heard us say in the past, particularly in the lower middle market, these are largely US domestic-focused businesses, both customers and vendors. Are you gonna be more focused from a US domestic standpoint? So while we will be impacted, if we compare our expected impacts to the broader US economy, we do think that our impacts will be less. So not that we won't be impacted, but we think it'll be a favorable comparison relative to other parts of the US economy. But despite that view, as I think you'd probably expect, I'd say we have been and we are actively working with our portfolio companies to make sure that they're being diligent in looking at their plans or playbooks to deal with the issues that could come about. As you just said in your comments, they dealt with this kind of thing before, both with COVID-19, supply chain issues, and then tariffs historically, and then more recently, the kind of high inflation period. So we think that our companies and their management teams have dealt with these types of issues in the past. And when we look at our performance since COVID, we think they've done a really good job of dealing with the uncertainty that has existed in a number of different fronts, and we would be hopeful that they can continue to navigate things in a positive manner, but we are clearly focused on it, spending time on it. We'll continue to focus on that with our management teams and our companies. You've heard us also say this before, but one of the things we've always loved about the lower middle market is that we do think we have best-in-class management teams. I think we've proven that over the last five to ten years with the performance in the lower middle market. So these are great operators. They're also very much aligned with us, much more focused on their equity ownership position as opposed to just a paycheck or a bonus. So we think that they manage their businesses in a very productive manner. Because of the size of the companies, when they execute a plan, that plan can actually have an impact very, very quickly. So we think those are all positives. I think it'll be interesting to see how this plays out, not just for us, but for the more broad US economy. But I think we feel that we're in good shape relative to others and are confident in the abilities of our teams to manage it. On your second question or topic about the impacts from a government efficiency standpoint, I'd say we have some limited exposure there. There's a couple of companies that we can think of that have significant exposure. Obviously, we're, just like we are on the tariff topic, we're talking to those companies and those management teams frequently to one, stay up to date on what's going on, but also do what we can to help them plan and navigate it. One of those companies I would say has a lot more impact. The other one I think is actually continuing to perform exceptionally well, and we think despite what's going on from a federal efficiency standpoint, we expect they'll continue to do well. But we think we have a limited exposure on that front when you look at the portfolio we have.
Robert Dodd: Got it. I appreciate that, Tyler, if I can. One more, still tied to DC. That's obviously the best. Can you hear me?
Dwayne Hyzak: Yep. We can hear you.
Robert Dodd: Can you hear me?
Dwayne Hyzak: Yeah. Robert, can you hear us?
Robert Dodd: Hi. Just on package. Right? It's a perspective I can hear you. Yes. Now. Sorry. There's potential that capital gains taxes come down maybe this year, maybe next year. Who knows? Are you hearing anything from protect on the front of new platform acquisitions where, you know, is there any slowdown in expected activity as people are, like, waiting for clarity on taxes because, obviously, a lot of these entrepreneurs that potentially have pretty significant tax exposure if they sell their business depending on a variety of factors. But is that entering anybody's mind at the moment, or is that just not a big deal?
Dwayne Hyzak: Yeah. Robert, I'll give my view of use, and I'll let David add on if he has any additional comments. But I'd say as we look at the first quarter, I think you probably heard this from other BDCs or management teams that you've talked to. I think activity, both lower middle market and private loan or private credit, has been a lot slower than we expected it to be, but I don't think it's related to any potential changes from a capital gains rate standpoint. I think there is some reluctance or caution just given everything that's going on in the US economy with the topics that you touched on earlier. So I do think that that is probably dampened some of the expectations from an M&A standpoint, but I don't think I've heard people talking about the capital gains stuff. And David's kind of shaking his head here, saying that he hasn't either. So we have not seen that pop up. Obviously, if there was a positive change there, that could be a positive catalyst, but we just haven't heard that enter the companies we've been talking to.
Robert Dodd: Got it. Got it. Thank you.
Dwayne Hyzak: Thank you, Robert.
Operator: Thank you. Our next question has come from the line of Kenneth Lee with RBC Capital Markets.
Kenneth Lee: Hey. Good morning. Thanks for taking my question. Just one on leverage. So still below target ranges, and it sounds like the expectation is a little bit of conservatism for this year. Just want to dig into that a little bit more. Is this based on any kind of macro factors and do you see there being enough origination activity to be able to bring up the leverage meaningfully over the near term? Thanks.
Dwayne Hyzak: Yeah, Ken. Good morning. Thanks for the question. I would say that views we're given on leverage are really, you know, we entered the year in a pretty significantly under-levered position. I'd say that's driven by a couple of different things. One is less than expected investment activity both on the lower middle market and private loan side of our business as we exited the fourth quarter, and that's continued to be the case as I said a few minutes ago, as we look at the first couple of months of the year. But I think, Ryan, you covered this in his prepared comments, but we do expect and are focused on trying to get our leverage up. And the way we're gonna do that will be driven by two things. One is just actual investment activity on a net investment activity basis. That's gonna be the biggest driver of where we end the year from a leverage standpoint. And then the other side of that is just given where we're at today from a leverage position, we expect to be less active under the ATM. So as we do grow our investment portfolio and grow our capital structure alongside that, you should expect to be much more heavily weighted toward the debt capital side of the capital structure. And, Ryan, if there's anything else you would add on, feel free to add on there.
Ryan Nelson: I think that about covers it. I mean, one thing I would mention is what was called out in the prepared remarks was the exit of Pearl Meyer happened at the very end of December. And that was a sizeable check that was written, which is great for us, but obviously had an impact on those levered ratios as we hit year-end. So that's also has a little bit of interplay there.
Kenneth Lee: Gotcha. Very helpful there. And then within the lower middle market portfolio there, and I think you mentioned in the prepared remarks seeing increasing interest and there could be some potential realization at some point. Wondering if you could go into a little bit more detail around that. What sort of, like, the nature of these kind of discussions, and is the level of interest increasing based on macro factors, regulatory outlook, or any other specific factors there? Thanks.
Dwayne Hyzak: Yeah. Ken, just like we are, we're gonna be a little limited in what we say there. Obviously, if there's activities going on, it's under a confidential situation in terms of having a transaction that may be in process that is not public. But as we said in the past, we think we've got some fantastic companies in our lower middle market portfolio, similar to what you saw with Pearl Meyer. And at some point, those companies may be called on by either a strategic or a larger private equity firm because just like we find these companies very attractive, they may also find them attractive and that may lead to dialogue, could lead to a process being run by our portfolio company with Main Street's assistance to maximize value in those transactions. I think that's similar to what happened on the Pearl Meyer side. We don't mandate anything. As you've heard us say in the past, we absolutely view our relationships with our lower middle market companies and their management team partnerships. So it's gotta be something that both we and the management team view as an attractive opportunity. But when that happens, we're gonna support them in maximizing the value and we think we will consistently have really good outcomes in that type of scenario just like we had on Pearl Meyer. If you wanna add anything to that, feel free to add on.
Kenneth Lee: Great. Well, that's it. Anything else on that?
Dwayne Hyzak: No. That's very helpful. Thanks again. Thank you again.
Operator: Thank you. As a reminder, if you would like to ask a question, our next question has come from the line of Mark Hughes with Truist Securities. Please proceed with your question.
Mark Hughes: Yeah. Thanks. Good morning. Good morning, Mark. Good appreciation in the quarter and the investment manager. Anything we can anticipate related to the public offering or was that appreciation in 4Q already factoring that in?
Dwayne Hyzak: Yeah. I would say, Mark, the appreciation in Q4 didn't really have anything to do with the listing and the offering. It was more based upon continued growth with the consistent incentive fees we've been earning and receiving there as well as just the market. We have a number of different factors that go into our valuation approach. One of those factors, not the only factor, but one of those factors is a publicly traded peer set, and I just think the peer set has been trading exceptionally well, not just in Q4, but for the last couple of quarters. You'll see some benefit there from a valuation approach standpoint.
Mark Hughes: And then when we think about the public offering, just the increase in assets under management, will that kind of logically trigger more value for the external manager or is that still looking at the peer group and other inputs?
Dwayne Hyzak: Yeah. I think when you look at the changes that happen in conjunction with the listing and offering, the changes are such that the benefit to Main Street or through the external investment manager to Main Street are gonna be fairly limited unless there's a significant change to the operating results at MSC Income Fund. What I mean there is we lowered the base management fee so that change in the percentage will reduce the base management fees we get. We also changed the incentive fee structure to be more consistent with what you see from other externally managed BDCs and those two at consistent operating results, it would be close to breakeven. The structure was intended to provide MSC Income Fund shareholders additional benefits as we grow and have better performance both at the net investment income line and the ROE line. So if we do that, there will be a lower incentive fee relative to performance, but overall, when you look at the growth of assets, and an increasing level of performance, we still think it's a really good outcome for Main Street as well when we look at the relationship that we have with the MSC Income Fund.
Mark Hughes: Very good. From a regulatory standpoint, Dwayne, I think you've mentioned a time or two you've lost some lending opportunities to local banks. Any prospects you think for looser regulation on banks to get them more active with that be a competitive impact for you know, hard to see, but any thoughts there?
Dwayne Hyzak: Yeah. I'll give a few thoughts, and I'll let Nick add on if he has a different view, because I think what we see, most of the pressure for the last two, three, four years and from that angle not on the lower middle market side. It's on the private credit side. And I'd say in the last quarter, we had another attractive company performing well. I wouldn't say it was knocking the cover off the ball in terms of their performance versus our original underwriting expectations, but a bank came in and took us out of that at a significant spread. So you're still seeing some of that. It is very limited, but my view would be I would not expect you to see there being significant enough changes in the banking regulations to change that. I think you'll still see some of that from time to time. But I think it's less specific or related to changes in the bank regulatory environment and more a bank decides they wanna do something, they can't explain why they do it, but they go out and do something that we think is fairly aggressive, but beneficial for the company that they end up giving that loan to. Nick, feel free to add on.
Nick Meserve: And so the usual case for that is it's not a fresh LBO, it's a transaction that happened maybe twelve or eighteen months before, and maybe the bank had been a banking partner before those sponsor bought the business. They couldn't get there on the first transaction. Usually, it's either speed or timing and leverage issue. So as the company performs better, a lot of times that regional or local bank will step back in again with a lower rate to try to get re-involved in that business.
Mark Hughes: Understood. Thank you. I'd say from a fresh LBO perspective, we don't see them really as competition there.
Nick Meserve: Yeah. Yeah. Okay. Very good. Thank you.
Operator: Thank you, Mark. Thank you. Our next question has come from the line of Douglas Harter with UBS. Please proceed with your questions.
Corey Johnson: Hi. This is Corey Johnson calling for Doug. I just have a question. Just, you know, speaking with the competition for a second, you know, just given the success that you've had in your lower middle market strategy, you know, on that portfolio, do you have any, I guess, you know, what are your thoughts in regards to perhaps concerns from competition? You know, regarding other BDCs possibly moving down market. Or perhaps even, you know, imitating the lower middle market strategy. You know, just what are your thoughts on competition in general?
Dwayne Hyzak: Yeah. Thanks for the question. I'd say we haven't seen a change there. Definitely not a change from the BDC industry in terms of being more competitive with our lower middle market strategy or approach. I think when you look at it, and that's why we have two very distinct and different teams at Main Street, you know, a team that looks like what I expect most BDCs investment team to look like. It's gonna be very consistent with what Nick and his team at Main Street do. They're credit-focused. That's their history. That's their experience. And that's their approach. Our lower middle market team is much more a private equity type focus. We're underwriting the transaction the exact same way that a private equity sponsor or fund would or that strategic acquirer would, and those are just two very different approaches and very distinct skill sets. So, you know, we haven't seen anybody trying to come in and duplicate or become competitive with us in our lower middle market strategy. We also don't expect them to, given that dynamic in terms of the differences in the skill set and experience. You know, could they? They could. I think over the last twenty years of being in the industry, we have seen some people do it a long time ago, probably ten, fifteen years ago, and I'd say that those companies they're not around anymore and they did not fare very well because you had kind of lenders or credit guys trying to do private equity and it just it's a totally different skill set.
Corey Johnson: Alright. Thank you.
Operator: Thank you. This now concludes our question and answer session. I would now like to turn the floor back over to management for any closing comments.
Dwayne Hyzak: Thank you very much. And just from our side, just thank you to everyone again for joining today. And we'll look forward to talking to everyone again in a few months after our first quarter earnings release. Thank you.
Operator: Ladies and gentlemen, thank you for your participation. This does conclude today's teleconference. You may disconnect your lines at this time. Have a wonderful day.